Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the DiamondRock Hospitality Third Quarter 2023 Earnings Conference Call. At this time, all participants are on a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please note that today's conference is being recorded. I'll now hand the conference over to your speaker host, Briony Quinn, Senior Vice President and Treasurer. You may begin.
Briony Quinn: Thank you. Good evening, everyone. Welcome to DiamondRock's Third Quarter 2023 Earnings Call and Webcast. Before we get started, let me remind everyone that many of our comments today are not historical facts and are considered to be forward-looking statements under federal securities laws. As described in our filings with the SEC, these statements are subject to numerous risks and uncertainties that could cause future results to differ materially from those expressed in our comments today. In addition, on today's call, we will discuss certain non-GAAP financial information. A reconciliation of this information to the most directly comparable GAAP financial measure can be found in our earnings press release. With that, I'm pleased to turn the call over to Mark Brugger, our President and Chief Executive Officer. Mark?
Mark Brugger: Thank you for joining us. Global travel demand remains strong. Annual hotel stays in the United States are expected to surpass the pre-pandemic record of 1.3 billion room nights, 2023 is also setting a new normal in hotel patterns as the changes to the way global citizens travel settles in post-pandemic. During this recovery, DiamondRock has been a leader, and we believe we are well positioned to outperform going forward. Our confidence stems from our high-quality portfolio. We have spent more than a decade renovating, repositioning and recycling our portfolio to curate a collection of hotels and resorts specifically designed to attract today's travelers. By full year revenue, our portfolio remains approximately 60% urban and 40% resort. An important aspect of our strategy, which distinguishes DiamondRock from its peers is that nearly 95% of our properties are unencumbered by long-term management contracts. This gives us greater control over operations at the properties and higher values upon sale. These portfolio advantages are a key element that enabled DiamondRock to deliver solid results. Total revenue for our portfolio in the third quarter is up 12% as compared to 2019 and just over flat to last year. We were pleased with these results, which were modestly ahead of our expectations. RevPAR in the third quarter contracted 1.1% as compared to the same period in 2022. Compared to 2019, RevPAR in the quarter was up 7.6%, which is more than 100 basis points ahead of the midpoint of our expectation. While urban total RevPAR was up 2.9% in the quarter over last year, it was the sequential improvement in resorts that exceeded our expectations. As measured by total RevPAR, we saw strength at the Landing Lake Tahoe Resort up 15.2% last year. Tranquility Bay Resort in the Florida Keys, up 10.4% to last year and our luxury resort in Vail, up 9.3% to last year. Of course, some resorts continue to adjust and were down to the prior year, but we are encouraged that the year-over-year decline in our resort revenue improved 340 basis points sequentially from last quarter and are still nearly 26% higher than 2019. Moreover, we expect additional sequential year-over-year improvement in resort revenues for the fourth quarter. Overall, total revenues for DiamondRock's entire portfolio in the third quarter were $277.1 million. While up only modestly from 2022, it was still a new record for DiamondRock as it marked the highest third quarter revenue in the history of the company. This led to hotel adjusted EBITDA in the third quarter of $81.1 million, which was $6.6 million or 8.9% and ahead of 2019. It is worth noting that we achieved these third quarter 2023 revenue and adjusted EBITDA results despite about $2 million of disruption impact stemming from renovations at the Salt Lake City Marriott and Hilton Boston repositioning to the Dagny Okay. In reviewing the quarter, let's look a little closer at the trends that we saw. At our urban hotels, year-over-year RevPAR increased 2.2% and exceeded 2019 by 2.1%. The group segment at the urban hotels was up modestly across the portfolio. However, we did have several stars on the group side in the quarter. On a year-over-year basis, group business in the third quarter was terrific at the DC Westin, up 33%. The Westin Boston up 10.4%; the Westin San Diego, up 15.6%, the Worthington Fort Worth, Texas, up 15%; and the Phoenix Palomar, up high single digits. This strong group performance from our Stars was somewhat offset by lower group business from the softer convention calendar in Chicago this quarter, as we discussed last earnings call, along with the anticipated renovation impact from the Salt Lake City Marriott. Business transient in the third quarter saw demand increased 5.6% as compared to Q3 2022. Over the summer, the business demand landscape evolved quickly. We work closely with our operators to aggressively adjust and we were successful in executing on our revenue maximization strategies. This BT strategy involves channel shifts and carefully calculated occupancy for rate trade-offs. As we move beyond Labor Day and into the fall, we are seeing gradual gains in business transient demand, but at levels that remain well below prior peak. For our resort portfolio, third quarter resort RevPAR increased nearly 24% over 2019 despite contracting 8.2% compared to last year. Encouragingly, the year-over-year quarterly decline in resort RevPAR improved a full 500 basis points from the prior quarter. Importantly, we expect that year-over-year quarterly comparable RevPAR will improve yet again in the fourth quarter as we settle into the new normal secular travel patterns for resorts. Clearly, resorts have been a big winner for DiamondRock. In the third quarter alone, our resorts had adjusted EBITDA that was 23% higher than in 2019. Going forward, despite some near-term adjustments, it looks like resorts are likely to outperform the industry over the next decade from the acceleration and adoption of hybrid work in the U.S. Remember that there has been 2.7 billion more days of locational flexibility created post pandemic from the average worker being in the office 3.35 days per week from the prior 4.4 days per week in 2019. To put this into context, the number of nights of locational flexibility is two times the annual demand for all hotel rooms of all types in the United States and resort hotels specifically comprised just 10% of the existing supply. And resource supply in many of the resort markets is likely to remain near zero from legal restrictions like in Key West or the unavailability of developable land like Huntington Beach and Coastal California. As you can tell, we remain constructive on the long-term outlook for resorts. Okay. Let's turn to internal growth. While DiamondRock has always invested in its assets to keep them highly competitive, spending more than $0.5 billion over the last five years. One of our biggest competitive advantages is derived from the large number of high-impact ROI opportunities within the portfolio. These ROI projects drive cash flow and lead to outsized NAV increases. In the last 24 months, we have delivered on a number of projects, including the conversion and up-branding of the Hythe Vail to a luxury collection, the Clio Denver to a luxury collection, the Key West house to a Margaritaville and the Lodge at Sonoma to an Autograph. Those four hotels alone generated a collective RevPAR increase of 27.4% over 2019 in the third quarter, with the hotel adjusted EBITDA up 42.8%. We will continue to benefit from the completion of these and a number of other recently completed ROI projects. In the last 36 months, we have executed a total of $58 million in ROI projects that touched more than a third of our hotels. The benefits of these projects often play out for several years, and we should continue to reap market share gains and increase profits that will bolster overall portfolio results. And we're not done. DiamondRock has a strong culture of excellence that has driven our quest to identify and execute additional value-add ROI opportunities. For example, on August 1st, we announced the successful conversion of The Dagny Boston which marks our 15th independent hotel. The Dagny is projected to increase its EBITDA by $4 million next year and ultimately stabilize in excess of $15 million of annual EBITDA. Additionally, we are actively underway with other ROI repositioning. The Hilton Burlington is in the process of being converted to a lifestyle hotel to be name, Hotel Champlain, a member of the Curio Collection. It is on track to be completed during the summer of 2024. The Bourbon Orleans is also underway with its repositioning to be The Premier Urban Resort in the French Quarter of New Orleans. This ROI project is expected to be completed late next year. And behind these, DiamondRock has a large pipeline of future opportunities. I'll list just a few. At Orchards Inn Sedona, we are in the permitting process to move that hotel to a luxury level and make it part of the adjacent L'Auberge de Sedona Resort. The repositioning is projected to increase ADR there by $300. At The Landing Tahoe, we have the opportunity to add almost 20% more keys. At the Chico Hot Springs Resort, we are evaluating adding more cabins on our 748 acre property. At Tranquility Bay, we are seeking permits to build DiamondRock's first Marina with about 30 suites. These are just some examples and there are many more. So stay tuned. That's a good transition to give you an update on the acquisition market. While Jeff will discuss our capital allocation options in a few moments, we have been disciplined in working to find more of the transactions that have worked so well for us. Owner-operated experiential hotels often in unique destinations, we have a deep well of understanding about unlocking value at these types of properties, which puts us in a great position to create value, when we can, pry them loose. However, as we said last call, any deal we would do this year will have to be something we really love. Our one deal this year, the Chico Hot Springs Resort in Paradise Valley Montana certainly fits that deal. This independent owner-operated hotel has lots of upside opportunities. We bought it at an 8.1% NOI cap rate. And in the third quarter 2023, comparable RevPAR grew a robust 10.8% for our period of ownership. We project our investment in the Chico Resort will ultimately stabilize north of a 10% NOI yield, just from the implementation of our best practices and a modern revenue management system. While the Chico Resort was a special opportunity, we continue to vigorously work our proprietary database of opportunities with similar characteristics. I should also mention that we are testing the market with a few potential dispositions, but we will remain disciplined with release prices. Now, let me turn it over to Jeff, for more details on the quarter.
Jeff Donnelly: Thanks Mark. Starting at the top, DiamondRock's RevPAR contracted 1.1% in the quarter from the prior period, exceeding our guidance of a 1.5% to 2% decline. This better-than-expected performance was largely due to the improving performance of our resorts. Food and beverage and other revenues saw mid-single-digit growth, pushing same-store portfolio revenue up slightly versus last year. The growth in comparable total revenue breaks down between the 2.9% increase for our urban hotels and a 4.6% decrease in our resort portfolio. It is important to highlight, the steady improvement we are seeing in our resorts comparable total revenues at the resorts declined 8% in the second quarter, just 4.6% in the third quarter. And in September, they declined only 2.8%. We expect this trend to continue in October. Compared to 2019, comparable total revenue at our urban hotels was 5.8% higher with steady mid-single-digit gains each month over the quarter. Comparable total revenue in our resort portfolio finished the third quarter nearly 26% above 2019 and September was the strongest month with nearly 32% in gross. Before I move on to profits, I want to spend a moment on the group segment. We expected group revenue gains in the third quarter to be softer than the strong results seen in the first half of the year. We discussed on our last conference call, this was mainly due to the shifts in the citywide calendar in Chicago. Third quarter group revenues were in line with our original expectation, but group room rates were slightly stronger than forecast. We expect comparable group revenue will exceed 2019 levels this year, but we forecast group room nights will still be 10% or 79,000 room nights below 2019. Next year is shaping up to be very strong, with group revenue pacing up over 23% compared to the same time last year. Our footprint continues to serve us well. In our largest group markets, the Westin Boston’s group revenue is pacing up nearly 18%, and the Chicago Marriott is up over 40%. Several other stars on the group side are emerging. Group revenues at the Worthington, Westin D.C., Westin Fort Lauderdale and Westin San Diego are collectively up over 60% compared to the same time last year. We believe the strength and breadth of our group set up for 2024 is a unique advantage for DiamondRock. Moving on to profits. Comparable gross operating profit or GOP was $111 million or a 4.2% margin on $277 million of comparable total revenue. To put this in context, this means our asset managers were able to keep same-store hotel operating expenses to just 1.4% growth, despite the disruption of Dianne and flat revenue. Hotel adjusted EBITDA was $81 million and a 29.3% margin and corporate adjusted EBITDA was $73 million. Hotel adjusted EBITDA margins were 210 basis points lower than third quarter 2022. The adjusted EBITDA comparisons were made more challenging mainly by two events that discussed on the last earnings call. First, disruption and displacement mainly at the Dianne; and second, the property tax relief in Chicago last year or not for these two factors, we estimate our hotel adjusted EBITDA margin would have been 170 basis points higher than reporting results. Let me reconcile variances to the third quarter hotel adjusted EBITDA compared to 2022. The disruption and displacement shaved better than $2 million from the quarter, we had a successful tax appeal in Chicago in 2022. That resulted in a $2.8 million increase in our property taxes in the third quarter this year. Remember, we will face a $6.2 million increase in property taxes compared to last year in the fourth quarter. Our insurance policies renewed on April 1. So our third quarter results reflect a full quarter impact of higher costs, which was up $1.9 million over 2022. Finally, wages and benefits were up 2.8% year-over-year. Labor cost growth is slowing because we are fully staffed and wage inflation has moderated. You can see this trend in the sequential comparisons where second quarter labor costs rose 6.5% over the prior year versus just 2.8% in the third quarter. These costs were offset by aggressive asset management initiatives that increased other income by 8.5% as the team aggressively pursued opportunities to rebid parking agreements, adjust resort fees and promote our spots. I'd like to point out a few stars in the quarter. The Dagny in Boston officially opened on August 1, and the on-site team has done a superlative job keeping the project on schedule and on budget and the hotel looks fantastic. Importantly, third quarter EBITDA was 5% ahead of our internal expectation after conversion. Collectively, our luxury resorts held EBITDA margins nearly flat despite the competitive pressures this season from Europe and cruise alternatives. For example, the Hythe in Vail posted a nearly 400 basis point EBITDA margin increase on a nearly 5% increase in RevPAR. Returning to Boston. RevPAR at our Westin Seaport was up 7.6%, which is 4.8% higher than 2019. Moreover, the Westin had a very strong quarter for advanced bookings, helping us set up for a successful 2024. Tranquility Bay posted a 4.8% increase in RevPAR and a 10.4% increase in revenue in what is otherwise a slow seasonal period for the keys. As Florida returns towards historical seasonal patterns, our occupancy focused revenue strategy allowed us to drive year-over-year EBITDA growth and an EBITDA margin change that surpassed the portfolio average. The same strategy was successfully deployed at the landings in Lake Tahoe resulting in a 19% year-over-year increase in EBITDA and over 150 basis point margin increase. Finally, I want to point out that comparable F&B profit margins were excellent in the third quarter at 30.7%. That's 50 basis points better than in 2022 despite food inflation. By making smarter choices on the menu along with rigorous changes in competitive sourcing, we improved food costs year-over-year. We also had success growing beverage profits, too, with margins of 140 basis points. This was achieved from an increased focus on selling more profitable cocktails and utilizing lower cost providers. Let's talk about capital allocation. We prioritize capital towards the highest IRR opportunities on a leverage-neutral basis. We constantly evaluate internal ROI projects, common and preferred share repurchases; and finally, external growth opportunities. Beyond the ROI projects Mark has already spoken about, in the past four months, we have repurchased over 1.8 million shares for approximately $14.7 million or $7.77 per share. We are exploring dispositions, the proceeds of which can be used to fund additional repurchases, ROI projects or external growth. Regardless of the ultimate capital allocation, our focus is on maximizing shareholder value. We remain committed to having a flexible balance sheet. We are conservatively leveraged, as demonstrated by the low net debt-to-EBITDA ratio of 3.8 times trailing fourth quarter results. Our liquidity is very strong at over $0.5 billion comprised of $102 million in cash and an undrawn $400 million revolver. Importantly, our current liquidity is nearly 140% of our debt maturities through 2025 and nearly seven times our 2024 maturities. Let me provide a few building blocks on our 2023 numbers. Our corporate overhead remains on track to be around $32.5 million. Debt service costs are expected to be about $63 million. Preferred equity dividends are at $9.8 million. I also want to note that Westin is rolling out its heavily bet 2.0 program. And by committing to the new betting package in the fourth quarter, we can secure a 30% price reduction. This will result in an expense of $1 million in the fourth quarter to better position our Westins in 2024. Looking ahead to 2024, we expect several expense comparisons to get easier as we put inflation field wage growth, rising staffing levels, a hard insurance market and property tax scrubs in the rearview mirror. With that, let me turn the call back to Mark.
Mark Brugger: Thanks, Jeff. Overall, travel trends remain solid, but the current environment continues to adjust as the market establishes its new normal in 2023. We expect fourth quarter comparable RevPAR to be approximately flat year-over-year. This represents a 100 basis point sequential improvement from the third quarter, largely due to improving performance at our resorts. We are also pleased that our current full year forecast is generally consistent with Wall Street analyst estimates. For 2024, while the US economy will certainly impact actual industry results, we believe that the industry has a potential to perform relatively well. This belief is based on a few factors. ADR is likely to increase at/or above inflation. Corporate transient should continue to improve, albeit gradually, but with special corporate rates up mid to high single digits. Group demand should continue to stay strong as forward bookings nationally are solid. And finally, limited hotel supply in most markets provides a good backdrop for fundamentals. Now for DiamondRock, we like our particular set up. Let me give you a few specifics. First, we have room to run for our hotels to get back to prior peak occupancy, we expect to end 2023 about 5.5 percentage points of occupancy behind prior peak. Closing that gap is worth $57 million in incremental room revenue. Second, there is an opportunity on group. Our geographic setup is good for 2024 with terrific convention calendars in important markets for us like Chicago, DC and San Diego. If group room nights just get back to 2019 levels, that is worth over $34 million in incremental room revenue and concomitant outside the room spend. As Jeff noted, DiamondRock has a strong group pace for 2024, up over 23%. And lastly, ROI projects will continue to fuel results. For example, the Dagny Boston repositioned in 2023 is expected to experience 50% profit growth in 2024 with EBITDA projected to increase $4 million. As you can tell, we remain constructive on the future of the travel industry. Travel is one of the highly valued assets in our society and around the world. And we believe that DiamondRock is well-positioned for this cycle with a model portfolio, focused strategy and ample liquidity to move opportunistically. At this time, we would like to open it up for any of your questions.
Operator: Thank you. [Operator Instructions] And our first question coming from the line of Austin Wurschmidt with KeyBanc Capital Markets. Your line is open.
Austin Wurschmidt: Thanks and good morning everybody. Just starting off, I wanted to clarify a couple of items around the recent trends in resorts you referenced, is the sequential improvement in resort performance. Is that a reacceleration in year-over-year growth that you're alluding to? And does that include the Fort Lauderdale Kimpton Beach? And then separately, I'm just curious, is it fair to say that you think the normalization period in resorts is kind of starting to improve and that you expect it to reaccelerate again in 2024?
Mark Brugger: Yes, Austin, this is Mark. It's a great question on resorts. I think it's a mix. So at some resorts like the Florida Keys, we're seeing stabilization. We're also seeing easier year-over-year comps in some of the markets that started, I would say, correcting to the new normal patterns earlier. We're getting into the comparable periods for those now. But there are other resorts that are, I would say, we saw good footing year-over-year, ones we called out. And we are adjusting some of the strategies, given the shift in some of the demands, so I would call out Lake Tahoe, our asset, the landing there, where we did some carefully calculated rate for occupancy trade, which led to substantial outperformance on revenues, but also more importantly, on profits. So I think it's a combination of all three. So it's easier comps in some markets. It is some markets that are, I would say, stabilize or reaccelerating. But really, some of that is, I would say, more focused asset management revenue strategies being executed successfully.
Austin Wurschmidt: So if you were to stack up, I guess, the three segments of your business without pinpointing '24 guidance between group, leisure, you mentioned kind of a gradual continued recovery in BT. I guess how would you rank those three segments as it stands today?
Mark Brugger: For 2024, we're still just rolling up the budgets right now. So I think it's a little early to give you kind of -- we'll know a lot more in 30 days after we've been through the budgets. I wouldn't want to jump in before then through each of those.
Austin Wurschmidt: Okay. All right. Thanks for the time.
Operator: Thank you. Our next question coming from the line of Smedes Rose with Citi. Your line is open.
Smedes Rose: Hi. Thanks. It sounds like you just have some improved visibility, I guess into 2024 as the world kind of continues to normalize and some of the asset management tools that you've talked about. Would you consider at some point sort of reintroducing a more kind of formal guidance for the full year? Or are you thinking more in terms of just kind of giving some color around the next quarter as far as you've been doing?
Mark Brugger: Hey good morning, Smedes. I think as the world settles down, we'll see where we are when we get to February. We'll certainly have the discussion at the Board meeting. We'd like -- right now, you have two wars going on. You have the uncertainty of the Fed going on and a number of other factors. Hopefully, by the time we get to February, things will be a little bit clearer and we'll be able to do kind of give more forward outlook. But I think we'll have to take it kind of one quarter at a time right now.
Smedes Rose: Okay. And then can I just ask you, I know it's a relatively small piece of the overall portfolio, but it was the Lake Austin was a big quirky investment and I think when you bought it, you had expected this year's contribution to be in the around $7 million. It looks like it's running significantly below that. And I was just wondering what kind of went wrong relative to your initial forecast? And do you think it can reach the $7 million contribution at some point next year?
Mark Brugger: Sure. Yes, I think we've had a little bit of struggle in Austin sort of going from an owner-operated resort to more of an institutional set of revenue management tools, while we saw some falloff in high-end leisure demand. So, we've come back from a pricing strategy, that's a little bit more occupancy. We've seen a lot of success there. And I think a lot of the things that we saw as opportunities going from an owner-operated resort in terms of increased group contribution and really group as a significant part of the segmentation, which has never really been there. We've seen a lot of inroads going. So, I think we're still confident about our overall underwriting, especially on the on the group and through the connection to GDS, which didn't previously exist. Just taking a little bit longer to implement, I think some of those revenue growth strategies that we saw at acquisition.
Smedes Rose: Okay. Thank you.
Operator: Thank you. And our next question coming from the line of Peter Laske [ph] with Evercore ISI. Your line is open.
Duane Pfennigwerth: Hey, this is actually Duane for Peter. How are you guys? Good morning.
Mark Brugger: Hey Duane.
Duane Pfennigwerth: As you think about trends into 2024, just a follow-up on an earlier question, which markets do you think have the most headroom, which ones would you expect to lag? You mentioned, I think, for a couple of quarters now, a good building convention calendar in a market like Chicago, how would you see that market kind of trending in total?
Mark Brugger: Yes. I mean I think the most visibility we have into 2024 is on the group side. So, we can look at the forward bookings at our hotels and the citywide convention calendars. So, if you look at Chicago, we're up, as we mentioned, significantly over 40% in our -- in revenues for next year of forward bookings and the city-wides are actually going to be ahead of and room nights ahead of 2019. So, that one feels very good. Boston is having a good year this year and next year is still supposed to remain significantly above 2019 levels in room nights. And our forward bookings there are low double-digits. That appeal is good as well. D.C. looks like it's going to be outstanding, significantly ahead of where it was last year and 2019. San Diego, kind of, same thing in another very good year substantially ahead of prior peak. So, all those markets are particularly attractive. Our forward bookings at our hotels correspond with the strength in those markets. So, that's where the visibility is right now. We'll go through the budgeting process at the individual hotels that really kicks off this week. And 30 days from now, a little much better sense having spent more time with properties and seeing those detailed budgets on how 2024 will shape up.
Duane Pfennigwerth: Thanks. And then just on the conversion to independent like The Dagny, can you talk about how your mix changes and any changes you see on distribution channels. For example, how much of the prior demand was staying on points and what do you backfill that demand with? And is it really as you convert to independent, is it really OTAs that pick up share when you transition to an independent? Thanks for the thoughts.
Mark Brugger: I think it's going to be a base building exercise over a couple of years of building market awareness. We have put some contract business, which I think got on really sort of a rate parity basis will supplant probably slightly in excess of the amount that we were getting from redemption out of the Hilton system. And we've got a significant amount of volume out of that system, but the rate wasn't actually that great on an annual basis. So we've really sort of traded like-for-like there with some contract business, which is a more consistent base throughout 12 months. And now we're just in the process of establishing a name for the hotel with a lot of our local partners on the BT side, which we've seen some encouraging results on. And I think we're up about 60% in group for the Dagny specifically. It's not a huge group hotel, unlike the Westin that we have in Boston. But we've seen some good inroads with the renovated product from some of our local corporate customers.
Duane Pfennigwerth: Appreciate. Thanks.
Operator: Thank you. And our next question coming from the line of Dori Kesten with Wells Fargo Securities. Your line is open.
Dori Kesten: Thanks. I believe you said that Q3 expenses were up 1.5% with flat revenues and now looking into 2024, there are some expense tailwinds. Are you able to give just any more detail on what the potential run rate could be as we're looking into 2024?
Mark Brugger: Hi, Dori. This is Mark. We're not really giving 2024 guidance, but we are seeing expenses, particularly on comparisons to fully staffed hotels, better food cost. I think a number of the labor initiatives we put in are also helping our productivity per room. So as you saw sequentially, the expenses have come down substantially on a year-over-year basis. That's a trend ex some uncontrollables like property tax that we expect to continue the year and hopefully, as we move into 2024, the comparisons continue to get better. But we do anticipate that we'll have higher banquet revenues in 2024 from the strength of our group book. So there will be some associated expense as we layer the banquet back into 2024 as well.
Dori Kesten: Okay. And what's the quick math on Q4 margins based on your comment that you're comfortable with that?
Briony Quinn: Yes. That's a good question, Dori. I guess I would explain it this way. Year-to-date, I think our margins for hotel adjusted EBITDA quarter-by-quarter are down about 200 basis points year-over-year versus 2022. The fourth quarter will have a bit larger dip, because as you recall, we have the tax in Chicago or the tax relief in Chicago, that's not going to repeat. So that's about a 240 basis point benefit to last year. We're not going to have this year. And then beyond that, you have the insured -- property tax insurance renewal this year, which is about a 75 basis point drag and then I mentioned the expenditure on something like the Westin landing [ph] and some other small items are about a 40 basis point drag. So if you think of it as sort of adding that on top of the 200 basis point change we've seen before, you're probably something close to almost the 500 basis point differential versus the margins that we did in the fourth quarter of 2022.
Dori Kesten: Okay. And then you mentioned testing the market on dispositions. Should we assume that that's going to be primarily in urban markets? And then I guess, second, is it a good time yet to test pricing on larger boxes?
Briony Quinn: So we generally don't like to talk too much about pending dispositions, because we always assume that the potential buyers are listening these calls as well. But I will say the assets that we are testing the market on are all urban assets, so that's a correct assumption. I think it's really deals below $100 million, where there seems to be more liquidity and volume, the bigger deal is just because of where the debt markets are and kind of the more difficult large loan market that exists today, it's just hard to get those deals done.
Dori Kesten: All right. Thanks.
Operator: Thank you. One moment for our next question. And our next question coming from the line of Chris Woronka with Deutsche Bank. Your line is open.
Chris Woronka: Hey, good morning, guys. Thanks for all the details so far. Mark, I guess, one of your friends recently sold a hotel in Boston, I think they're going to convert to Hilton. Is there any -- as you look out a couple of years, is that a net positive? And that does it hurt you at all given you have -- you recently converted your Hilton, slightly different neighborhood and then you have the Westin which I don't know what the longer-term plans there are. So can you give us any color on any impact from that?
Mark Brugger: Sure. One, it's -- I thought a good cap rate, and that's a good, I think that's a good comp to have in the marketplace for assets in Boston. So I thought that was a favorable read through. On the Hilton branding, one of the reasons we want independent is we have a seven day a week kind of location that lends itself because of the kind of consistent demand in our location in Dagny. And it avoided the -- what would have been a problem at Hilton has decided to put another Hilton brand on 1,000 rooms, not too far away from our hotel. So I think in a lot of ways, it vindicates our decision to not be exposed to new Hilton supply within this market. So we feel good about our decision. We feel good about the prospects of the Dagny. It had a very good August, which was ahead of our original anticipated pace. September looked good and for given just on underwriting. So we feel really good about that.
Chris Woronka: Okay. I appreciate that, Mark. And then I really just want to follow-up on a couple of quick ones from the prepared comments. One is corporate transient I think a pretty good comment about pricing. Questionnaires, are there any volume guarantees associated with those maybe relative to 2019? And then the second part of it is I think you talked about some cost comps being easier, especially you mentioned insurance there. I guess that caught me a little bit by surprise given what we're seeing. Is that because you have insurance for next year locked in? Or you're just more optimistic in general?
Mark Brugger: Well, taking this in reverse order, then property insurance, our renewal is April 1, so we're locked in until April 1. I think that's what we're trying to convey in the prepared remarks is that we know what our costs will be through that. And we had a substantial increase last year. Hopefully, the market will be more accommodating when we get to April, but we'll see when we get there. On the BT, I think the surveys that I've seen come back from the largest special corporates is that they intend to travel more in 2024 than they did in 2023 at this time. That's helpful. Most of our BT special corporates don't have minimum guarantees but we're taking some comfort from the fact that they are -- the initial surveys indicate that they are intending to travel more than the restricted levels that they're at 2023. But we don't expect a rapid reacceleration of BT as we move into 2024 and certainly not the way we're engineering the mix is at our hotels.
Chris Woronka: Okay. Super helpful. Thanks, guys.
Mark Brugger: Thank you.
Operator: Thank you. And our next question coming from the line of Floris Van Dijkum with Compass Point. Your line is open.
Floris Van Dijkum: Hey, good morning, guys. I had a question for you on the capital markets and how that's impacting your business. And obviously, you're testing the market with some asset sales. Should we presume that you're testing the market in sales below $100 million? Or because of the difficulty in getting debt on some of these larger transactions? Or does the Sunstone news make you more positive on some of the bigger potential dispositions? And then the follow-up, I guess, is on the fact that the debt markets are more accommodating for smaller transactions, are you seeing more competition for the types of asset that you've been buying like the Chico and the resort type assets?
Mark Brugger: Floris, it's -- let me try to parse through those several questions. So I would say, in our portfolio, everything is for sale, and there certainly seems to be an arbitrage between private market values and public market implied values. So I'd like to convince to that arbitrage. With that said, it's not a great sellers market right now. So we're trying to be prudent about making sure that we're doing what's in the best interest of our shareholders on release prices. So we're actively involved in testing the market. I think it's below $100 million, we've seen greater volume in the number of lenders and the number of potential bidders. So you're more likely to get a number of bidders on those on those more small to midsized deals than you are on the $200 million product deals that are out in the marketplace. So we remain -- we think the best arbitrage is still probably in the under $100 million dispositions. The flip side, as you pointed out, is that for acquisition opportunities, there is more competition for those kind of opportunities. That's why we continue to spend our efforts on off-market transactions. And as I mentioned, our proprietary database that we've spent over 10 years now on focused on these kind of unique opportunities like Chico and Lake Austin. They continue to be where we are spending our time on the extra growth front.
Floris Van Dijkum: Great. And maybe my follow-up question is you have a mortgage on the Courtyard in New York that's coming due next year, $74 million, pretty low interest potentially, I mean, you could look to sell -- that could be one of your dispositions as well potentially. So you don't have to deal with that. But would you otherwise just simply pay down the mortgage and increase your unsecured borrowing base?
Mark Brugger: Well, I don't think it makes it more likely that we sell the asset debt's fungible among the assets if we sold another asset, we can certainly use it. But I would say we have -- we ended the quarter with $102 million of cash plus the undrawn revolver, so we could satisfy that mortgage with cash on hand. So we have all the -- kind of all the optionality that we need. It's one of the reasons we keep the fortress balance sheet and the financial flexibility to handle those kind of events when they come without putting any pressure on the company.
Floris Van Dijkum: Thanks. That's it for me.
Mark Brugger: Thanks, Floris.
Operator: Thank you. And our next question coming from the line of Anthony Powell with Barclays. Your line is open.
Anthony Powell: Hi, good morning. Just a question on business transient. I think you talked about some sluggishness there in the third quarter. Were there any particular markets or, I guess, categories that drove that decline? And what revenue management strategies to implement to counteract that?
Mark Brugger: Yeah. So just to -- good morning, Anthony. It's Mark. Just to clarify, we didn't see BT softness. We just said it substantially remained substantially below 2019 levels. Really, what we're seeing, and you've seen these comments from the big brand companies as well as the small business travelers still remains relatively robust, and they're at levels north of what they did pre-pandemic. But the biggest special corporate, the sensors, PwCs, they're traveling at much, much lower volumes than they did pre-pandemic. And that trend continued in the second quarter and the third quarter. The comps were, obviously, easier to last year. But they remain at those lower levels, and we're seeing it gradually get better post Labor Day, but it remains depressed levels overall.
Anthony Powell: Got it. Thanks. And maybe one on cash flow for next year. I mean, you talked about some more developments, redevelopments in 2024. Do you expect the CapEx budget to remain where it is? And also on the dividend, do you have any NOL and whatnot that keep your dividend at current level, or maybe the dividend go up next year as income continues to increase?
Jeff Donnelly: Hi, Anthony, it's Jeff. Right now, I mean, as Mark said earlier, we're still pulling together our budgets. I think our CapEx will generally remain as what it was originally contemplated to be this year, which I think is about $100 million. It's a pretty consistent number for us. It might flex a little bit simply because there's timing issues between when projects are started and completed or carryover from the prior year, but it will be about $100 million. And as for the dividend, right now, we paid $0.12 share per year. I'll defer to Mark on that where the Board had that, but I think that's the plan going forward in 2024. Yeah. And we have sufficient net operating losses that we can continue to use to offset the need to pay a dividend, I believe, through much of 2024, if not at all of 2024. So I think we have the ability to keep it at that level.
Mark Brugger: Yeah. I'll just add on, on the dividend policy. It's something we'll review with the Board every quarter. But right now, it looks like the highest and best use of our capital is in other places, while we value the dividend and know it's an important component of long-term returns for lodging REITs. Right now, given one of the stock price is trading, we just think that there are higher and better uses generally for that capital, but it will be something that we talk about every Board meeting we'll evaluate quarter-to-quarter.
Anthony Powell: Okay. Thank you.
Operator: Thank you. Our next question coming from the line of Dany Asad from Bank of America. Your line is open.
Dany Asad: Hi, good morning guys. We've heard airlines commenting during this earnings season that there's been -- they're seeing strength on peak holidays, but outside of those windows, there's been a little bit of more weakness in between. Are you seeing any similar behavior in your booking patterns and maybe why or why not we could be different than what we're seeing on the airline side?
Mark Brugger: Dany, I think it's a little bit of -- we're starting to establish the new normal patterns this year on that. So certainly, there's some Florida fatigue, I would say, and some of that stuff that we had exceptional shoulder seasons. They're remaining better than they were pre-pandemic, but they're coming down into, I think, more sustainable levels that we can build on going forward. So I wouldn't say that's different. We are implementing strategies around that reality. So that may mean that some of our resorts like I'll take a Henderson Beach Resort, which we have invested and has terrific meeting space. Last year, we basically locked it up and barely used it. As we move into 2024, we're going to be much more aggressive in booking and high-end group during the midweek to make sure that we're maximizing profits for the hotels. So I think you need to understand what's happening in the demand channels. You have to be very proactive and anticipatory in the way you said your revenue strategy is particularly midweek group, and I think we've done an excellent job on it so far, and I think we're trying to stay ahead of the curve as we move into 2024 on the shifting patterns as the new normal is established.
Dany Asad: Thank you very much.
Operator: Thank you. And our next question coming from the line of Bill Crow with Raymond James. Your line is open.
Bill Crow: Hey, good morning. Jeff, let me start with you and recognizing you're still rolling up budgets, but also recognizing that you opened the subject of 2024 expenses and margins in your prepared remarks. So let me frame it this way. One of your peers recently suggested that in order to achieve flat EBITDA margins next year, they need about 4% RevPAR growth. Is there any reason to think that DiamondRock will be materially different than that one way or the other.
Jeff Donnelly: I think we have some sort of unique factors going on for us because I mentioned, like with the Dagny that's going to be coming on and adding some significant EBITDA that ramps back up. I think for a portfolio that's maybe a little more static if you will. I think that's probably in the vicinity. It's going to vary, of course, portfolio to portfolio, but I think that's probably sort of a good industry note.
Bill Crow: Great. Thanks for answering that. Mark, maybe a subtle question here. But when we look at leisure, is it normalizing? Or is the consumer weakening?
Mark Brugger: Well, it's hard to extinguish this too. I think it's -- we're seeing normalization. We're not seeing -- maybe it's some consumer weakening, but we're not seeing that. We're seeing the share of wallet still be significant. We're seeing people spend on experiences versus things. To state they're cutting back their material purchases before they're cutting back their travel expenses. But it's hard to always pull out exactly what's driving the behavior. But people are traveling. I think we'll see a pretty robust holiday season as we come up here. So we're relatively optimistic. But clearly, things have settled into new patterns in 2023.
Bill Crow: Thanks. Appreciate it. Thank you, guys.
Operator: And our next question coming from the line of Chris Darling with Green Street. Your line is open 
Chris Darling: Thanks. Good morning. Mark, can you touch on what's been pretty strong fundamental performance in New York City and how sustainable that might be going forward? And then is it fair to suggest that New York is one of those rare markets where values might actually be up in recent months despite the movement in the tenure?
Mark Brugger: Yes. So I guess I'll speak on -- yes, a couple of kind of detailed questions there. So I think of values, the interest in New York City from investors is always high. I mean it's a market that always gets international and everyone's attention. So I think New York continues -- you could see increase in value. People believe in the thesis in New York, and it's always been active on investors kind of a global scale investor appetite. Fundamentals are good. You have a lot of positive things happening there. Most notably, you've had a lot of supply get taken out and converted to other uses. The 1,000-room Roosevelt getting converted to migrant housing and other big properties getting taken out permanently for student housing, other uses. That's been very helpful. You have the M1 rezoning going forward, which will take out the ability to build nonunion hotels, generally after 2026. That's going to be a nice catalyst, of course, most recently, we've had the change in the laws around Airbnb, which has taken out significant number of available units through that channel. So there's a lot of reasons to do before -- in New York. I'd say the other one is that the type of industry in New York, the financials have probably been the single most aggressive industry in making sure people return to work four or five days a week. You juxtapose that with a tech-centric market like Seattle or San Francisco, those industries have kind of lagged on the return to office stats, which has kind of suppressed the ability to get the transient coming into those markets. So I think there's a lot of reasons to be constructive on New York. We certainly are. I think we'll be constructive as we set our budgets for 2024 there as well. So that feels good.
Chris Darling: And any commentary you would have on the investment sales market in New York or?
Mark Brugger: There has been some recent trades, particularly smaller select service hotels and at the high end that have gone off. Again, I think, the feedback from the brokers that we talk to that participate in this process is there was fairly -- fairly robust demand for those offerings. I think people are interested in that market, as I mentioned. And New York is one of those markets you will always get the international and high net worth individuals interested in. So I think it's a constructive market for dispositions.
Chris Darling: Fair enough. Appreciate the thoughts.
Mark Brugger: Thank you, Chris.
Operator: Thank you. Our next question coming from the line of Mike Bellisario with Baird. Your line is open.
Mike Bellisario: Thanks. Good morning, everyone.
Mark Brugger: Hi, Mike.
Mike Bellisario: Just first on the monthly cadence. Just was September really the main driver of 3Q upside versus your expectations? And then can you provide any color on what you saw in October, particularly relative to what you thought the month was going to look like?
Mark Brugger: Yes. So September did come in a little better than we anticipated. We gave our expectations about two months ago. So September was the kind of the variable and that came in a little better portion the resorts that we had forecasted. October is a strong month. It will be the strongest month of the fourth quarter for us. The way group laid out their major markets was particularly focused on October. So we were at or ahead of our expectations for October. We don't expect November, December to have the same group strength. So they probably won't be adds on a comp basis as strong as October was. But so far so good this quarter.
Mike Bellisario: Got it. Helpful. Thank you for that. And then just switching gears a little bit. The Hersha transaction was announced in late August after your last conference call. So maybe, one, can you provide any updated view on what private equity groups are looking for? What you're hearing from them? And then how that trend maybe shapes or changes your view on relative value in next steps for you looking ahead?
Mark Brugger: Well, I would say the Hersha transaction had a positive read through and that they had substantial interest from a number of high-quality, very capable private equity firms. So the depth of the bidding there, I think, was very encouraging. And the debt they were able to secure, I think, was also very encouraging. It was significant that fairly good competition for the debt and the pricing looks like it's going to be on a relative basis, fairly attractive. So I think all that are positive read-throughs. Does that change our outlook? I don't know that it changes our outlook. I think private equity is still interested, but it doesn't feel like this is the moment in time when they're particularly leaning in to get super aggressive on pricing for public REITs. I think based on where we are with the Fed and the concern of slower economy, I would imagine that the middle of next year is probably going to be a more robust time for PE firms to lean in. You'll be hopefully past the peak of the Fed raising the rates. Hopefully, liquidity will get more robust in the debt markets. Today, it's functioning, I would say, but it's not robust. And those things should come together in the middle of next year, and I would imagine that, that will be a more optimal time for people and private equity to make aggressive decisions.
Mike Bellisario: Perfect. Thanks for that.
Operator: Thank you. And I see no further questions in the queue at this time. I will now turn the call back over to Mr. Mark Brugger for any closing remarks.
Mark Brugger: Thank you. For everyone on the call, we appreciate your interest in DiamondRock, and we look forward to updating you next quarter. Have a great day
Operator: Ladies and gentlemen, that does conclude the conference for today. Thank you for your participation. You may now disconnect.